Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Choice Properties Real Estate Investment Trust Fourth Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to Simone Cole, General Counsel and Secretary. Please go ahead.
Simone Cole: Thank you. Good morning, and welcome to Choice Properties Q4 2025 Conference Call. I am joined this morning by Rael Diamond, President and Chief Executive Officer; Erin Johnston, Chief Financial Officer; David Muallim, Senior Vice President, Leasing and Operations; and Niall Collins, Executive Vice President, Development and Construction. Rael and Erin will provide a recap on our fourth quarter operational results and annual highlights before we open the lines for Q&A, where Niall and David will join to answer your questions. Before we begin today's call, I would like to remind you that by discussing our financial and operating performance and in responding to your questions, we may make forward-looking statements, including statements regarding Choice Properties' objectives, strategies to achieve those objectives as well as statements with respect to management's beliefs, plans, estimates, intentions, outlook and similar statements concerning anticipated future events, results, circumstances, performance or exceptions that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the material risks that can impact our financial results and estimates and the assumptions that we have made in applying and making these statements can be found in the recently filed Q4 2025 financial statements and management discussion and analysis, which are available on our website and on SEDAR+. And with that, I turn the call over to Rael.
Rael Diamond: Thank you, Simone, and good morning, everyone. Welcome to our Q4 conference call. Before I begin my comments, I want to provide an exciting update on our team. I'm pleased to share that David Muallim has returned to Choice Properties as SVP, Leasing and Operations. David brings exceptional experience back to Choice from his time at Loblaw overseeing their real estate leasing and new store development. Previous to that, David spent a decade with our organization, and we are very excited to welcome him back. With David's return, Niall Collins is transitioning back to his primary role of EVP, Development and Construction, where he will be focused on delivering our robust development pipeline. I want to thank Niall for his leadership and the stability he provided leading both our operational and development teams over the past 2 years. This transition underscores the depth of our leadership team as we continue to execute on our strategy for unitholders. With that, I'll now focus on our results. We are pleased to deliver another strong year of operational and financial results as our team continues to execute on our strategic priorities. Our full year performance in 2025 demonstrated the strength of our necessity-based retail portfolio, our well-located industrial portfolio and our ability to create value through development. Together, these factors enabled us to once again meet our earnings outlook, delivering same-asset cash NOI growth of 2.2% and FFO per unit growth of 3.6%. We completed this while further strengthening our industry-leading balance sheet, ending the year with leverage at 7.0x. During the year, we remained extremely active in our capital recycling, completing $801 million of real estate transactions. This included $460 million of acquisitions and $341 million of dispositions for net acquisition activity of $119 million. We also continue to create value through our development, transferring 17 new commercial projects totaling 836,000 square feet. These projects were completed at an average yield of 7.4% and resulted in $47 million of value creation. Given the strength and stability of our business and our strong performance in 2025, our Board of Trustees has approved our fourth consecutive distribution increase effective March 2026. This increase reflects our ongoing commitment to returning capital to unitholders. Turning now to our fourth quarter results. The momentum in our business continued, and we finished the year in a solid position. Our portfolio occupancy increased 20 basis points to 98.2% in the fourth quarter, primarily due to new leasing in our industrial portfolio, combined with favorable renewal spreads of approximately 22%. This drove healthy same-asset NOI growth of 2.4%. Our leasing spreads in the quarter were completed on 1.6 million square feet, representing very strong retention rate of 92.4%. We also completed 233,000 square feet of new leasing, highlighted by positive absorption in Ontario retail and Alberta industrial portfolios. In retail, we continue to see robust demand for necessity-based centers nationwide. In the quarter, we completed 596,000 square feet of renewals and 89,000 square feet of new leasing. This drove our retail occupancy up 20 basis points, ending the year at 98%. Renewal activity was particularly strong with leasing spreads of 16.8%, led by Atlantic and Quebec regions and tenants in the dollar store, liquor and office supplies categories. Looking ahead, our team views vacancies and potential backfills as opportunities to re-lease space at both higher rents and to higher covenant tenants. Beyond our existing portfolio, we remain active in advancing retail intensifications and new greenfield developments at attractive risk-adjusted yields. Erin will speak more about our development completions shortly. Our industrial portfolio has remained remarkably resilient with occupancy increasing another 50 basis points in the quarter to end the year at 98.8%. The leasing progress is consistent with what we outlined at the beginning of the year. During the quarter, we had a very strong retention rate of 93.8%, completing over 1 million square feet of renewals at a spread of 26%. Included in our leasing activity was 514,000 square feet of renewals in the GTA where the tenant had a fixed rate option, resulting in a spread of 17%. Excluding this renewal, our spreads averaged 40%. Our team also completed 138,000 square feet of new leasing at rents, 31% above our average in-place rents. This leasing activity highlights the significant mark-to-market and embedded growth in our industrial portfolio. We continue to see a stabilizing industrial market broadly for high-quality generic assets in the right markets and remain focused on advancing our industrial development pipeline at Choice Caledon Business Park. Lastly, in our mixed-use and residential portfolio, we delivered stable performance in 2025, reflecting the high quality of our office assets, which are primarily leased to affiliate entities. While select residential properties have experienced some pressures from new supply, they remain supported by strong long-term fundamentals in urban markets, and we remain committed to our pipeline of high-quality transit-orientated residential developments. Finally, touching on transaction activity in the quarter. We remain active on our capital recycling program, completing approximately $261 million of real estate transactions during the quarter. This included $67 million of acquisitions and $195 million of dispositions. Our most significant transaction in the quarter was a new 50-50 joint venture with Wittington across 2 office towers at Yonge and St. Clair in Midtown Toronto. This transaction included the third-party acquisition of 2 St. Clair Avenue East for $43 million at Choice's 50% share, excluding costs, while concurrently selling a 50% interest in the Western Center to Wittington for $76 million. Overall, the transaction represents a net $33 million office disposition for Choice. This was a strategic transaction as the 2 buildings are directly adjacent and operate as an integrated complex with shared common areas, including a shared loading dock. Choice will manage both properties going forward. During the quarter, we also disposed of a nonstrategic industrial asset for $18 million and $101 million of retail assets that we disclosed last quarter. All dispositions were completed above IFRS values. We also acquired a retail center for $23 million in Peterborough and subsequent to the quarter, completed $28 million of additional retail acquisitions. Overall, 2025 marked an active year of capital recycling as our team remained focused on maintaining the quality of our market-leading portfolio while leveraging our balance sheet to grow our business through net acquisitions. With that, I will turn the call over to Erin to discuss our financial results and additional capital allocation activity. Erin?
Erin Johnston: Thank you, Rael, and good morning, everyone. We are very pleased with our financial performance this year. As Rael noted earlier, we closed the year from -- with a position of strength, having achieved each of our financial objectives. When we set our 2025 outlook a year ago, the economic environment was highly uncertain. Our ability to each -- to meet each of our core financial targets underscores the quality and resilience of our portfolio and our team's ability to deliver consistent results for unitholders. Turning to our fourth quarter results. Our reported funds from operations was $189.9 million or $0.262 on a per unit diluted basis, representing an increase of 0.8% year-over-year. FFO in the quarter was driven by year-over-year total cash NOI growth of 4.4%, which included higher same-asset NOI and contributions from transactions and completed developments. This was partially offset by the timing of lease surrender revenue, higher interest expense from refinancing activities and lower investment income. AFFO in the quarter was $0.201 per unit, an increase of $0.05 year-over-year. This increase was largely driven by the timing of maintenance capital projects, which commenced earlier in the current year compared to the prior period. On a full year basis, our AFFO payout ratio of 88% was in line with prior year. Turning to our property performance. Same-asset cash NOI increased by $5.9 million or 2.4% compared to the prior year. By asset class, retail same asset cash NOI increased $3.1 million or 1.6%. This was driven by higher base rents and recovery revenue. And excluding bad debt expense, year-over-year growth was 2.1%. Industrial same-asset cash NOI increased by $2.9 million or 6.2%, primarily due to higher rental rates on renewals, new leasing and contractual rent steps. Mixed-use and residential same asset cash NOI decreased by approximately $0.1 million or 1.8%, primarily as a result of lower rent at certain residential properties. Moving to our balance sheet. IFRS net asset value or NAV for the quarter was $14.43 per unit, a decrease of $72 million or approximately 0.7% compared to the third quarter. The decrease was primarily driven by an $87 million fair value loss on our investment in the units of Allied Properties and a net fair value loss on investment properties of $29 million. This was partially offset by a net contribution from operations of $45 million. As a reminder, we're required under IFRS to mark-to-market our investment in Allied to its trading price at each period end. The fair value changes on investment properties in the quarter were primarily driven by adjustments to select mixed-use and residential developments as well as certain existing residential assets to reflect current market conditions. This was partially offset by gains in the retail portfolio, which were supported by favorable leasing and cash flow assumptions related to backfilling certain sites with higher quality tenants and favorable cap rate adjustments, mainly in Ontario, reflecting continued demand for necessity-based retail centers. On a full year basis, we continue to generate stable value across the portfolio, resulting in year-over-year NAV growth of $263 million or 2.6% on a per unit basis. We ended the year in solid financial position with strong debt metrics and ample access to capital, including $1.6 billion of available liquidity through our corporate facility and cash on hand and $13.8 billion of unencumbered properties. Our debt-to-EBITDA ratio was 7x and remained largely stable. We had no material financing or debt maturities in the quarter and with our next material maturity not occurring until our $350 million debenture in November. Turning to our development activity. Our pipeline continues to be a reliable source of long-term cash flow growth and NAV creation for the REIT. In the quarter, development spend totaled approximately $40 million, and our team delivered 3 new commercial projects totaling 601,000 square feet at a blended yield of 7.8%. Our largest delivery in the quarter was the latest phase of Choice Caledon Business Park project totaling 530,000 square feet at our ownership share, which we completed at a yield of 7.9% and expect rents commencement to begin in April. We also completed 2 retail intensifications, including a 54,000 square foot Costco Gas Bar in Edmonton completed through our 50% owned JV at a 6.1% yield and a 17,000 square foot Shoppers Drug Mart in Ontario at a 6.9% yield, leaving 8 additional Shoppers Drug Mart projects in our active pipeline and many more in various stages of planning. On a full year basis, our development spend totaled approximately $237 million, and we successfully transferred $222 million of assets to income-producing, representing 836,000 square feet of new commercial GLA. These transfers resulted in approximately $47 million of value creation for Choice. Looking ahead, we remain confident in our strategy and financial plan. Our focus remains the same. We will continue to prioritize operational excellence supported by strong leasing execution while enhancing portfolio quality through disciplined capital recycling and delivering on our development pipeline to create value for unitholders. For the full year 2026, we expect to maintain stable occupancy and deliver 2% to 3% year-over-year growth in same-asset cash NOI. Our business is expected to deliver annual FFO per unit diluted between $1.08 and $1.10 in 2026, supported by the strength of our core business, including strong same-asset NOI growth and contributions from transactions and development. This strong performance will be partially offset by the impact of Allied's distribution cut. We will continue to leverage our industry-leading balance sheet to support both our transaction and development activity while maintaining our debt-to-EBITDA below our long-term target of 7.5x. Lastly, given the strength of our business and performance in '25, as Rael mentioned, we are increasing our distribution to $0.78 per unit effective March 2026, which represents a 1.3% increase from the prior year. With that, Rael, David, Niall and I will be glad to answer your questions.
Operator: [Operator Instructions] And your first question today comes from the line of Mark Rothschild from Canaccord Genuity.
Mark Rothschild: It sounds like that industrial is doing pretty well for the types of properties you own. You're advancing on the development projects. Is this an area that you think you can expand on, grow this year? And do you feel confident enough to maybe start additional development projects?
Rael Diamond: So look, we said throughout the year that things are starting to stabilize, and we've definitely seen that in -- on the leasing front. We commenced the spec development last quarter, and it's a function of us having confidence in the market. We've seen lots of RFP activity. I think we need to see a little more traction on the RFP activity before we consider commencing another spec development. I think from a growth point of view, we'll continue to capture that mark-to-market that we spoke about. And our team is always looking for new investment opportunities, and we hope we can grow in that avenue, too, but nothing yet that we are underwriting actively. I don't know, Niall, if you want to add anything else?
Niall Collins: Yes. Maybe just to add, we're delivering our spec building in early 2027 for really focusing on deliveries for that year or tenant inquiries for that year. We're starting to hear inquiries around 2028. And as we feel that they're getting some traction, we'll be able to pursue those opportunities as well.
Mark Rothschild: Okay. Great. And maybe just...
Rael Diamond: Mark, sorry, just one thing quickly. Erin's...
Erin Johnston: Mark, just wanted to call out the prospect activity at Caledon has increased to Niall and Rael's point. And then just if we think about industrial for 2026, we would think about same asset growth being closer to that 4% range.
Mark Rothschild: Okay. Great. And then maybe just one more in regards to office. The transaction you did sounds like more strategic than anything else. There has been some signs of an office recovery. Obviously, Allied has not participated in that yet. Do you have any thoughts on office investment at this time? Is it an asset class that you would ever -- would the REIT get back into in a more material way? Would you do something if you were confident in improvement? Or is that an asset class that Choice is just not looking to be heavily involved in going forward?
Rael Diamond: Yes. Look, Mark, if you go back a few years ago, we exited office because we felt we could never get real scale in the asset class. And it's unlikely for us to see that opportunity. So we are very focused on continuing to build out our retail, industrial and then over time, purpose-built rental. And there's enough investment opportunities in those 3 asset classes that we would not be pursuing office as an asset class.
Operator: Your next question comes from the line of Lorne Kalmar from Desjardins.
Lorne Kalmar: Just on the guidance side, and Erin, I'm sorry if I missed this. You guys are usually really tight and not that $0.03 isn't tight. But just wondering what has to happen to hit the low end versus the high end? Is it more of that lease term income you guys saw throughout 2025? Or is there something else we should be thinking about?
Erin Johnston: Lorne, I would think about our plan as right down the middle now. I know we gave an extra bit of range on guidance, but I think last year, we got the feedback that it was very tight. So I just thought we'd give ourselves the room. In order to outperform a couple of things that we need to see is leasing coming in stronger than expected on retail, same in industrial, maybe a little bit less downtime than is in plan. So there's definitely flex there. And then yes, if there was a little more lease termination income, that would help. But I think there's a bit of room for our team to outperform.
Lorne Kalmar: Okay. And then I think you talked to the SP-NOI growth range for industrial for retail, would that kind of be in the 2% to 3% range?
Erin Johnston: That's right.
Lorne Kalmar: Okay. And then just lastly, on Building D at Caledon, I noticed the yield is quite a bit lower. Maybe just some color around that and why you guys decided to move forward with it given the lower yield than what you guys were getting on the previous buildings.
Niall Collins: Lorne, it's really a function of it being a spec building, and it needs to address a wide range of kind of tenant requirements. So we feel we've put in appropriate allowances to be able to capture those requirements. So as we continue to see costs moderate and hone in on a potential tenant, we feel we'll be able to improve those yields.
Operator: Your next question comes from the line of Brad Sturges from Raymond James.
Bradley Sturges: Just to follow up on your commentary around the industrial segment and RFPs. Is it -- I guess I'm trying to understand that the comment around the need to see a little bit more activity on the RFP side. Is it a function of you're not -- have you seen a change in that market relative to last quarter? Or it's just -- it's a little bit too early to be thinking about 2028 yet given you're only starting to see that activity start to pick up now?
Niall Collins: Well, it's more about supply coming into the market, which is falling off dramatically. And with Building D, it will be one of potentially 2, 1 million square feet buildings in the GTA, one actually being ready for occupancy now. So we're the only spec building underway. The activity we've seen over the last couple of months is a function of, I think people are getting used to a level of uncertainty and starting to make decisions around that. For 2028 deliveries, that's now going to be a function of how we see the current environment smoothing out, but we're encouraged by it.
Bradley Sturges: Okay. And just following up on that, in terms of like just market rents for industrial for the type of assets you own and across your markets, what do you expect there this year in terms of time line to see a bit more stabilization, even maybe a positive inflection point on the market rent growth?
Niall Collins: I think we see this year's -- 2026 spreads will be consistent with '25, which I think has been a very good year in itself.
Operator: Your next question comes from the line of Himanshu Gupta from Scotiabank.
Himanshu Gupta: On the same asset NOI outlook, and I think you mentioned 4% for industrial. Just wondering, are you being conservative here given the occupancy uptick you have seen year-to-date and then the mark-to-market opportunity as well?
Erin Johnston: Yes, it will be between 3% and 4%, Himanshu. And I'd say, as I was just answering the last question, there could be upside if our team sees stronger leasing on deals, $0.50 or $1 more or shorter downtime. But I'd say that every year is also dependent on the mix of what's renewing and what province it's renewing in. So to Niall's point, spreads will be relatively consistent with last year. And that 3% to 4% is very in line with how we view industrial long term.
Himanshu Gupta: Got it. Okay. Sticking to industrial here. Your industrial occupancy is obviously outperforming the broader Canadian market. What is causing that for that outperformance?
Niall Collins: I think it's a combination of our quality of building and the age as well as the generic kind of properties of the building as well. It's not -- we're not -- we don't -- we're not factoring into some of the other issues that our portfolios are seeing.
Himanshu Gupta: And I know there's a section of Loblaw portfolio. On the third-party portfolio, are you more small to mid-bay, larger bay? How would you classify in terms of demand for these types of product?
Rael Diamond: I think when Niall is speaking about the market, Himanshu, and he'll chime in after this, he'll refer to the third-party portfolio because the Loblaw represents roughly just, call it, 30% of our income, and it's very stable. And I think we're seeing demand across the board in the small bay, mid-bay and then obviously, on RFP activity on the large distribution type buildings. But maybe, Niall, is there anything else you want to add?
Niall Collins: No, I think it's large activities where we're seeing the most interest. There's a lot of competition in the smaller bay, and we're not really focused on that.
Himanshu Gupta: Got it. Okay. That's very helpful color. Last question is on capital recycling. Obviously, you have been very active on that front over the years. What more noncore disposition targets do you have for the year? And do you become like more active on net acquisitions here given the good balance sheet?
Rael Diamond: Look, Himanshu, I would say, for us, we always focus on quality. And every year, we start the year and we say there's not a lot of product to buy, and we have to obviously source the product and depends what comes to market. And if you think of 2025, we did roughly $800 million of total transactions, and we bought more than we sold. And we're entering '26, we've done a few small retail acquisitions. And we're hopeful that we can find more assets to buy and use the strength of the balance sheet. We just don't have great visibility right now. As far as what we can still sell, I would say our portfolio is in phenomenal shape. And it's not that we're selling things that in our mind is bad quality. It's just on the lower end of spectrum maybe from a growth point of view, and we can use that capital and recycle it into new acquisitions. I would say the other area we're very focused on is the greenfield and just on the commercial development. Erin made reference to 8 Shoppers Drug Marts that are currently on construction. There's a significant pipeline behind that. We're also building, I think, 5 neighborhood shopping centers, and our team is underwriting another asset. So I think just that benefit of working with Loblaw to find those growth opportunities, we believe we'll be able to deploy capital in that area as well, which is very encouraging.
Operator: Your next question comes from the line of Giuliano Thornhill from National Bank.
Giuliano Thornhill: Just one question back on the greenfield that you mentioned there. How big are these kind of retail sites? And where are they kind of working for Loblaws?
Niall Collins: At the moment, we've got 4 that total about 350,000 square feet, and they range from about 40,000 to 160,000 square feet. They're largely Loblaw's anchored with either No Frills brand or some Shoppers brand. So they're very -- they're a large part of how we're anchoring our centers and going out and getting additional CRE leasing.
Giuliano Thornhill: And kind of with the industrial, I guess, I don't want to say on pause, but now is the increasing focus going to be more of that retail nodes and larger sites going forward out to 2027?
Rael Diamond: Yes. We don't see industrial on pause because we're building the large 1 million foot facility. It's just -- from our point of view, it's just managing risk that you don't want to be doing too many of them at once. But as we said earlier, as we get leasing traction on the building, we'll consider other spec industrial buildings to keep the momentum.
Niall Collins: Yes. And just to add, like Tullamore has a range of building typologies as well. So if there is a demand for a smaller size, we can also go forward with that, too.
Giuliano Thornhill: I see. Okay. And just one last question. Just with the Bank of Canada potentially done cutting, there's rates may be going higher for longer. Are you seeing the narrowing of bid-ask spreads beginning to happen in transactions and potentially for the market to pick up yet?
Rael Diamond: Look, for the product that we've been buying and selling, there seems to have been strong demand. And I think the wider bid-ask spread is when a certain seller or a seller needs a certain price to clear or cover their debt. I think as time has gone by, they've become more realistic. But we think the transaction market has generally stabilized for the assets that we are investing in.
Operator: Your next question comes from the line of Sam Damiani from TD Cowen.
Sam Damiani: Congrats, David, on your return to Choice. Just on the -- so little bit one by one, my questions have been addressed here, but maybe just to drill a little bit deeper on the retail development. The active pipeline is down around 200,000 square feet. Now that doesn't include the Nepean site, which I assume you're going to move forward with. I wonder if you could just confirm that. But just given how tight retail leasing is today, do you see that sort of 200,000 to 300,000 square foot sort of activity annually meaningfully increasing potentially for choice in the coming years?
Erin Johnston: Just going to give some color and then I'll hand it over to Niall. What we include in our MD&A is active, our sites where we really are further along with our permits and zoning. But you'll see in our investor presentation as well, if we think about kind of the next 3 or 4 years, we've identified over 1 million square feet plus in our portfolio that we are able to build out and probably over 60 projects plus in the next 3 to 4 years. So very healthy pipeline there, and those will start to funnel into our MD&A as they become more real. But I'll let Niall comment on the detailed color.
Niall Collins: Yes. So as I mentioned, Sam earlier, it's about 350,000 square feet, but there is also an additional 4 that we're bringing in as well as we kind of work through it. So what's in our active development is what's zoned and we can move forward with in the next 6 to 12 months. We will see additional projects coming into the pipeline, the active pipeline over the course of the year. So we're encouraged by what's going to happen over the next 3 years in our plan.
Sam Damiani: That's great. That's helpful. And maybe just shifting over to the rental residential segment. It's obviously seen a little bit of pressure. The occupancy is down, which you commented on in your opening remarks. But maybe to drill down a little bit more deeper, which sort of, I guess, clusters or markets are performing best for Choice right now? Is it between Toronto, North York, Brampton, Ottawa, Edmonton?
Niall Collins: Look, Ontario, generally, we're seeing in Ottawa and Toronto, a similar pattern. However, that pattern, we think has leveled off. And as we saw the majority of the supply that was going to come off for shadow rental occur in '25, we think we're going to see the same type of growth pattern for a little bit longer and potentially see it improve over the next 12, 18 months.
Sam Damiani: And do you still feel confident you'll move forward with a new project potentially this year?
Niall Collins: We do. We do. That will bridge the cycle in our view.
Operator: [Operator Instructions] Your next question comes from the line of Pammi Bir from RBC Capital Markets.
Pammi Bir: Just coming back to the, I guess, the new joint venture with Wittington, can you maybe just expand on that? And what was the -- maybe the motivation behind those transactions? And any color you can share just in terms of the longer-term play there?
Rael Diamond: Yes, Pammi, I think if you think of Yonge, St. Clair, essentially the block is owned by either Choice or Wittington. So Choice owning the office asset, Wittington owning all the development land. And the last piece of the block that wasn't owned was the corner, which is 2 St. Clair, which is a small office asset, but call it, more than 30% of the income comes from the ground floor retail. If you stand in the buildings, you actually don't know which one is 2 St. Clair and which one is 22 St. Clair. So from our point of view, it just made logical sense to own them, obviously, own the office together. Office is obviously not completely strategic to Choice. We've said we do it when it's primarily through related entities. And what it did is it allowed us to reduce overall exposure, control operations and then from a group point of view, allowed full control of the block. 22 St. Clair is fully occupied and 2 St. Clair has a bit of leasing upside, which we're quite confident we will pick up that just given the pickup in office momentum at the moment.
Pammi Bir: Okay. Actually, that was actually one of my next questions just in terms of the occupancy there. So that's good to hear, and it all makes sense. Maybe just as a follow-up, are there other opportunities where a similar situation may arise that you might be looking at for -- in terms of 2026, where there's an opportunity to maybe consolidate some ownership that might be held by third parties or...
Rael Diamond: If you think of 2025, we actually consolidated ownership through some of our joint ventures where our partner wanted out. So I can think of an asset in Edmonton that we purchased our -- 2 assets in Edmonton, actually, we purchased one of our partners out. One of them we took back a Chapters box and we split and we leased it to No Frills and a Shoppers Drug Mart. So I think we're always looking for opportunities where one of our partners wants liquidity, where we can consolidate ownership. And then I think back a few years ago, if assets were not core or strategic to us, we always offer to our partner first. So we'll continue to look for those opportunities on high-quality assets.
Pammi Bir: Okay. And then just was there any -- like what range of sort of transaction activity was, I guess, incorporated into your guidance, if any?
Erin Johnston: So Pammi, in 2025, we bought more than we sold by about $120 million. I'd say in 2026, our plan would be to be kind of around $100 million, buying more than we're selling.
Operator: And with no further questions, I will now turn the call back over to Rael Diamond, CEO, for closing remarks.
Rael Diamond: Thank you, Rob. Once again, our portfolio and balance sheet remain in excellent position, and our teams are focused on executing on our strategic objectives in the year ahead. Thank you for your interest in Choice and for joining us this morning. We look forward to providing you another update on the business in the spring.
Operator: This concludes today's conference call. You may now disconnect.